Nick Delfas: Good morning, and welcome, everyone, to BT Group's results presentation for the full year ended 31st of March 2025. Presenting today are Allison Kirkby, Chief Executive; and Simon Lowth, CFO. Following the presentation, there will be a question-and-answer session. I would like to make everyone aware that this event is being recorded for replay purposes. Before we start, I'd like to draw your attention to the forward-looking statements cautioned in the presentation and press release for examples of the factors that could cause actual results to differ from any forward-looking statements we may make. Both the press release and the presentation can be found on our website. With that, I'll now hand over to Allison.
Allison Kirkby : Thank you, Nick, our new chatbot. Good morning, everyone, and welcome to our full year results presentations, and thank you so much for joining us today on this sunny morning. By way of an agenda, I'll be starting by looking back at our progress in the past year, and then I'll hand over to Simon to talk about the financials. Then we'll set out more detail on our strategy, our plans and our outlook for the year ahead. And of course, Simon and I will be taking your questions at the end. We're also joined, I'm delighted to say in the audience, by 2 long-standing colleagues, Clive and Howard, and 3 new ones, Claire, Jon and Tom. So please do feel free to say hello at the end of the meeting. We won't invite them for Q&A. Otherwise, you'll be here all day. But let me start first with our full year highlights on Slide 4. It's been a busy year for all of us at BT. We've continued to deliver on our strategy by building and connecting customers to next-generation networks at pace, by improving customer experience and by modernizing and simplifying. We broke records on full fiber build and connections and on mobile network performance. Our NPS jumped in all of our customer-facing divisions, and we delivered transformation benefits ahead of plan. And we continue to simplify, shutting down noncore activities and selling businesses in Ireland and, since year-end, Italy, all with the ultimate aim to sharpen both our focus and our capital allocation. This focus and accelerated transformation helped us more than offset revenue pressure to deliver EBITDA growth and a better-than-expected GBP 1.6 billion of normalized free cash flow even as we invested at close to peak levels, in fact, the highest investment into the U.K. of any FTSE 100 company. Reflecting this performance and our confidence in cash flow expansion, we're now increasing our dividend. Our total dividend will increase to 8.16p share, in line with our progressive dividend policy. And we're continuing to target normalized free cash flow of GBP 2 billion in fiscal year '27, which is now just 1 year away, and rising to GBP 3 billion by the end of the decade. Considering the clear benefits of full fiber for our customers in defending our market position and ultimately growing our enterprise value, I'm also very pleased to announce that we're going to push on even faster this year and pass up to 5 million homes so that by the time we're here next year, we'll have reached 23 million homes and businesses and connected close to 9 million of them, more of that later in the presentation. But first, let's reflect on how we've performed in each of our customer-facing units. In Openreach, we delivered a record year in build, in provisions, in revenue and EBITDA and in customer satisfaction. Our full fiber footprint today stands at more than 18 million premises, reaching over half the country. And thanks to greater build efficiency, we built a record 4.3 million for the same budgeted cost as for the 4 million that we'd originally planned for when we came into the year. Customer demand has remained very strong, with 6.5 million homes and businesses connected by the end of March and, in fact, 6.8 million already at the end of just last week. This means our market-leading take-up actually increased during the year from 34% to 36% and hit 37% in the last few weeks even while we've been passing so many new premises. Broadband ARPU has grown 6%, driven by CPI and better-than-planned upsell to higher speeds, with a 3% overall broadband revenue growth despite the higher line losses. And with ARPU up 5% and our GBP 1 billion Ethernet business, revenues grew a further 8%. In addition, our transition to fiber drove faults down by around 10% in the year. And in copper and Ethernet, we continue to meet all Ofcom quality of service standards, and we also have an excellent Trustpilot rating across both copper and fiber. All of this drove growth in NPS and in EBITDA, well ahead of revenue growth. Finally, we've already won 7 Type C project gigabit contracts, covering 300,000 hard-to-reach premises with a value of over GBP 700 million. We've also taken over 2 substantial contracts where other suppliers have struggled, both of which will allow us to gain further momentum in the coming years. The area where we haven't been happy, of course, is in line losses. We always expected some share loss but within a growing market. Instead, the fixed broadband market shrank slightly in the last year, creating a headwind of a few hundred thousand lines compared to the previous trend. And based on our data, we think there is some post-COVID and cost-of-living reset going on in the market as a whole. At the same time, in areas where we don't have full fiber or our CPs are not investing to maintain their market position, our losses are higher. However, the positive also remains as in areas where we do have full fiber, we lose much less. So our best defense, therefore, remains to continue building and connecting faster and more efficiently than anyone else. And as I said, we're now going to accelerate further this year to address the growing demand and bring forward higher connections and higher ARPUs. Let's now move to Consumer. We delivered a solid performance in what was a year of transition after heightened inflation in our back book over the last 3 years. In line with what I said last May, the second half did see a return to service revenue growth, and we expect a similar seasonal pattern in this coming year. After several years of both a declining customer base and market share, it was clear coming into last year that we needed to stabilize at some point. So despite the competitive market, I'm very pleased to say that our broadband base grew in the final quarter for the first time since December '21. That was due to us better leveraging all 3 of our brands but particularly EE and BT. Our mobile base was also stable in the year. And on ARPUs, we achieved a slight increase in broadband, and we were stable for mobile despite ongoing shifts to SIM only. Churn had a small increase in broadband, but a fall to 1% for mobile helped in part by our new EE One proposition, which is successfully growing household penetration, loyalty, you saw in our churn and our converged base. And our converged base now is actually growing, up 2 percentage points to 25%. We're continuing to proactively upgrade our customers to the best available network in the geographic area, with our full fiber base up over 30% to 3.2 million. 5G connections also grew, up 10%, and our mobile network won Best Network for the 11th year in a row with RootMetrics for the 10th year in a row with umlaut connect, and we also recorded the best 5G availability with Speedtest. All of these improved network and convergence experiences clearly boosted NPS, which increased across all 3 of our brands. And I'm delighted to see all our brands score well this morning in Ofcom's customer service comparison, with EE the best-performing MNO overall and Plusnet, EE and BT in the top 4 for broadband. Finally, I'm very proud that EE took the lead and issued age guidance for smartphone usage last August, and at the other end of the generational spectrum, I'm proud of the enhanced support that we are giving to vulnerable customers ahead of the switch to digital landlines. Both are evidence of our commitment to our purpose to connect for good. Moving to Slide 7. Business is continuing to focus its turnaround efforts by simplifying and transforming to next-generation products and solutions, but it's clearly impacted by ongoing drags from legacy products. In the U.K., revenue fell 1%, but this is more than accounted for by the fall in traditional voice, which as we know, will slow with PSTN switch-off in January 2027. Within SMB, the trajectory of service revenue was very similar to Consumer, with a recovery in the second half but weighed down by lower equipment sales. In Corporate and Public Sector, we were very pleased to broaden the Emergency Services Network contract for a further 7 years. And at the end of the year, we saw excellent wins, including with DEFRA, which will contribute to further improved performance in the future. Like in Consumer, we're also seeing substantial growth in our fiber and 5G bases. And to note, almost 3/4 of our voice customers are now on voice over IP. That being said, U.K. connectivity revenues did fall 3% but grew if you exclude traditional voice, and U.K. managed services also grew 2%. This underlying growth and our improving NPS speak to the relatively seamless way in which we are managing these migrations and the strength of the relationships we have with our customers, large and small, throughout the country. Moving to international. Revenue fell 9%, driven by weaker trading and FX. Essentially, the challenge for business as a whole remains the speed at which we move off of legacy services, digitalize our customer journeys and our effectiveness at offsetting rising costs with pricing in what has been a tricky environment for our customers. That's what we've seen this past year, and that's what we've factored into the same for the outlook for the coming year. But having carved out the international segment, we now have focused leadership teams in both parts of the business to help us address the opportunities that we now see ahead. So let me now hand over to Simon to take you through the numbers in a little bit more detail.
Simon Lowth: Thanks, Allison. So good morning to you all. I'm going to start with the individual unit results on Slide 9. Consumer revenue was down 1% for the year. That was mainly due to lower handset sales volumes. Adjusted service revenue declined 0.4% for the year due to lower average customer bases through the year, only partly offset by the higher broadband ARPU. But despite this, we returned to service revenue growth in H2, and the broadband base grew in Q4. Consumer EBITDA declined by 1%, driven by the flow-through of service revenue and some higher input costs, partly offset by strong cost controls and some one-offs of mid-tens of millions of pounds. Business revenue was down 4%. That was driven primarily by international trading alongside a GBP 56 million adverse impact from FX. U.K. revenue was 1% lower. Declines in legacy voice products ahead of the PSTN switch-off in 2027 were only partly offset by the easier comparator from last year's revenue adjustment. Business EBITDA declined by 6% for the year, reflecting the flow-through of revenue from high-margin legacy products, partly offset by tight cost management and the ongoing modernization activity. Q4 EBITDA benefit of the prior year revenue adjustment was largely offset by the quarterly phasing of our corporate and network costs. Openreach grew revenue 1% in the year, driven by CPI-linked price increases, the increased FTTP mix in broadband and Ethernet volume growth. This was partially offset by declines in the base of broadband and voice-only lines. Q4 revenue growth was negatively impacted by the phasing of commercial and some storm-related rebates. Openreach adjusted EBITDA grew by 5%. This was driven by the revenue flow-through and the continued cost transformation, including the benefit of lower fault rates, lower total labor resource and lower energy costs, all partly offset by the pay inflation. Our other EBITDA outturned at 0 for the year. So moving to look at our group results now on Slide 10. Adjusted revenue for the year was GBP 20.4 billion. That's down 2%. It was at the bottom end of our revised guidance range. Revenue declines in Consumer and Business were only partially offset by that growth in Openreach. Adjusted U.K. service revenue fell 1% in the year, but it grew in the second half. Adjusted operating costs before depreciation, they were down 3% due to the cost transformation and the tight expenditure controls. Adjusted EBITDA for the year was GBP 8.2 billion. That is up 1%, and it's in line with our guidance. Strong delivery from our cost transformation programs more than offset the revenue pressure. CapEx came in at GBP 4.9 billion for the year. It's broadly flat. This was achieved while Openreach built full fiber to 4.3 million premises, exceeding the revised build target set at H1 and delivering record provisioning volumes. We largely absorbed the increased full fiber volumes through a combination of lower unit costs in Openreach and significantly improved IT development efficiencies in our digital unit. Cash CapEx was slightly higher than reported CapEx due to around about GBP 100 million of grant funding gain share, partially offset by the timing of capital creditor payments. Normalized free cash flow increased 25% year-on-year to GBP 1.6 billion, GBP 100 million ahead of our guidance. Now compared to FY '24, EBITDA growth, a reduced working capital outflow and a GBP 95 million tax receipt more than offset higher interest costs. We delivered our cash flow performance while also achieving the new Fair Payment Code Silver standard. The IAS 19 pension deficit fell by GBP 0.7 billion, mainly due to scheduled contributions partly offset by lower-than-assumed asset returns. The funding in IAS 19 deficits at the end of April were largely unchanged despite the last month's market volatility following the U.S. tariff announcements. And as Allison just announced, we're proposing a final dividend of 5.76p per share, making the FY '25 full year dividend 2% higher at 8.16p per share. And now, Allison, back to you.
Allison Kirkby : Thank you, Simon, as we dance across the stage. So as I said last year, and it remains so today, it really is a huge privilege to lead a company like BT. And since stepping into the role 15 months ago, my priority has been to sharpen our strategy, focus on the U.K. and ensure we have the team and the delivery muscle to build a better BT for all. As you know, our ambition is to become the U.K.'s most trusted connector of people, business and society, guided by our purpose, to connect for good. Our strategy focuses on 3 things: building the best, most trusted digital networks; connecting customers so they thrive as we grow in a digital world; and accelerating our modernization to restore leadership in everything we do. By the end of the decade, this strategy will deliver for all of us. And it will deliver the financial commitments of service revenue growth, EBITDA growth ahead of revenue and in close to doubling of this year's normalized free cash flow. That's a near 20% compound growth rate. Let me unpack each of our strategic priorities in turn. First, we've been getting on with building the country's digital backbone faster, further and more efficiently than anyone. We know that the more fiber we build, the more customers choose to connect to us, so we will keep going until we reach 30 million, and we will be the only nationwide fiber platform. Beyond fiber, we have the best and the most resilient mobile network, and we will work constantly to improve it. And we will now aim to offer seamless connectivity so that our customers can uniquely connect effortlessly across the best fixed access, the best mobile access and via our unique network of over 5 million WiFi hotspots that we now intend to upgrade. And finally, we'll continue to innovate for our customers, from the NHS to small businesses and households and for the country via AI and quantum-secure networks and whatever comes next. After we build, we connect so that we grow. We are proud custodians of some of the U.K.'s most loved and trusted brands: BT, EE and Plusnet. Each has a deep connection with customers and communities nationwide. We have the best and safest connectivity products that differentiate us, whether that be WiFi 7 for consumers or DDoS lite to protect smaller businesses. And we are improving customer experience and loyalty mechanisms as we increasingly digitalize our operations and improve services. We also know that our customers will be better on BT and so do the world's leading companies who partner with us. Together, we go beyond connectivity into new verticals such as TV and gaming experiences and offering services that resonate with our most trusted status such as cloud solutions and security. So we build, we connect, but we also need to accelerate our modernization to restore leadership in everything we do. As we do that, we're building a new BT-wide culture that is open, engaged and more focused on delivering for our customers and, ultimately, our owners. We are streamlining our product portfolio dramatically based on a simpler and more modern IT estate. And we're working to create real competitive advantage from our technology and, in particular, from AI, which we are increasingly using everywhere, for example, in enabling hyper-personalized marketing and fraud protection or for chatbot, Aimee, or an improved network planning and coding efficiency. And we can see much more value and customer experience improvement to be unleashed by AI in the years ahead. All this underpins our ability to restore growth, expand margins and drive our cash flow inflection. And finally, in our strategy, we've now fully embedded what we do for society and the planet with a focus on digital inclusion, resilience and sustainability, ensuring that no one gets left behind, that the country and our customers feel safe and secure when they're connected to us at BT and that as we shift to next-generation products, services and networks, we play our part in the road to net zero and positively impacting the country. So let's now look at the levers for growth and value creation in each division, starting on Slide 16. In Openreach, we remain firmly on track towards our 2030 targets, which have not changed. We're building and connecting faster than anyone else whilst maintaining a premium quality at a lower cost than our major competitors, which remains at the low end of our GBP 250 to GBP 350 range per premise passed even if 25% of that build is actually in more rural locations. Our scale efficiencies and engineering prowess have been evident in our build for quite some time, but we've now ramped up our provisioning engine too, connecting at a rate of 55,000 per week and an average cost of around GBP 300 per premises. With soon-to-be-nationwide coverage, best-in-class provisioning, full integration with our CPs and excellent customer service, we are confident we can continue to accelerate connections, which, combined with indexation, will drive further ARPU growth. In our operations, full fiber fault rate remains more than 60% lower than copper. And as we continue to migrate customers, fault volumes continue to fall, benefiting customers and clearly our OpEx. As a result, we remain absolutely confident of continued solid EBITDA growth and a fair return for our owners even as we go through a phase with admittedly more limited top line progression. To understand the scale of our network, it is best to look at it on a map. And here on Slide 17, you can see the success of our build since 2021 as we move from the green side of Glasgow to the blue side of Glasgow. This makes it abundantly clear: we are the only national network. And the success of the fiber program so far supports further our acceleration by 20% to up to 5 million premises in this coming fiscal year. Let me give you 2 reasons that we took this decision. Now that we've got the engine humming, it makes sense to use it rather than slow it down too early. And second, the faster the bit we build, the better we address demand, defend our base and secure the levers to growth and value creation, not just in Openreach but also in our retail units. So although I stood here last year and said that we're past peak CapEx, it actually makes more sense to keep building like fury and connecting like crazy. With our overall strategy delivering, our finance is now in good shape. We're now well on track to pass the 25 million homes and businesses that we promised by the end of next calendar year. Let's move on to Consumer on Slide 18. In Consumer, our primary focus remains commercialize our great network assets via some of the U.K.'s strongest retail brands to win the household, drive convergence, improve customer experience and grow customer lifetime value. And we're making good progress. Our 5G base is growing as is our full fiber base, and convergence is finally starting to tick up. Converting all of this to a consistently improving ARPU will also be easier once we've worked through the high price inflation of recent years and build our fiber base even further. On convergence specifically, we have product relationships to build on in half of U.K. homes. And while we've made good progress in the past year, there's lots more to do to reach our full potential by leveraging some of the products and partnerships and Better on BT deliveries and concepts that I mentioned earlier. EE now has brand consideration for broadband that is almost up to its mobile level, and we're seeing excellent sales of broadband to our mobile customers and vice versa. EE One is also starting to drive up the number of SIMs per household, which is particularly beneficial to defending ourselves against no-frills value brands. Finally, as I've hinted at in recent months, the BT brand will be reinvigorated, and with Plusnet, we can continue to play at the value end of the market while protecting the premium nature of the BT and EE propositions. And with over 400 retail stores and a U.K.-based call center -- and U.K.-based call centers in the communities where our customers live and work, supported by a digitally transformed omnichannel experience, we are confident that this rich set of assets, combined with the transformation, will return us to growth sustainably from next fiscal year. Moving to Business. In the U.K., as I said, we're now fully focused on radically simplifying, accelerating our transformation and developing our iconic brand and leading market positions to become the most trusted one-stop digital shop for businesses, large and small, as we help them and protect them in an increasingly digital age. BT has the highest consideration and first-choice purchase intent of all telecoms brands, especially in the mass market business space, and that's despite underinvestment in recent years. We intend, on a modest upweight to brand investment, to increase awareness and consideration, including strengthening our support to SMB and SOHO customers in our retail footprint, which will now remain dual branded. In Corporate and Public Sector, we are trusted to support the foundations of our country, from the government to banks to air traffic control. We're proud to operate the 999 servers or support the Home Office to build and operate the Emergency Services Network and help defend companies from the growing risk of cyberattacks, and we'll continue to innovate, for example, expanding Global Fabric into our U.K. customer base to connect them across technologies to all major cloud locations. Simplification and legacy migration is now happening at pace, as you can see here. And we've already delivered a 20% reduction in the number of products we sell in the past year, and this streamlining will continue. Overall, 2/3 of our U.K. revenue will be driven by just 15% of our current products by the end of the decade. We do know, however, that we still need to translate all of this into better financial results and better customer experience sooner rather than later. Welcome, Jon. Hence, why we now have a dedicated U.K. business leadership team established as of April 1, whose sole focus is to accelerate our transformation, better leverage the brilliant assets we have and to ultimately win in the market. As I announced last year, we are continuing to look at all options to optimize our international business. We've now carved that out, with a dedicated leadership also as of April 1 and 8,000 personnel moved into that unit just as of last week. We're completing Global Fabric to enable legacy migration, and we're pursuing a radical portfolio simplification and cost optimization to ultimately make the segment at least free cash flow neutral and ripe to play a role in the needed consolidation of this segment of the market, which I still believe is one of the scenarios we could pursue. Now it's time to hand back to Simon, once again, to take us through transformation and our capital allocation priorities, and then I'll be back to talk you through outlook.
Simon Lowth: Thank you. So moving, as Allison said, onto our transformation objectives. Our transformation of BT Group involves building and migrating customers to differentiated and converged products on new full fiber and 5G networks, all delivered on low-touch journeys on modern modular IT, leveraging our growing AI capabilities. And this allows us to progressively close legacy networks and IT, liberating further cost savings. Now this is a demanding multiyear program. It's one that we are confident is going to demonstrably improve customer experience and materially lower headcount and costs. So during FY '25, we closed 300 IT applications. We improved our NPS, now marking the second year of annual NPS improvement. We reduced total headcount by 4,000, although that was a 6,400 reduction in employees, partially offset by 2,400 increase in lower unit cost, more flexible subcontractors on our CapEx programs. We delivered GBP 913 million of gross annualized cost savings. That's almost 30% of our GBP 3 billion savings program. The GBP 913 million cost savings reflected both headcount reductions and third-party cost savings, including a 4% reduction in energy consumption and significant procurement savings, for example, in engineering materials and in subcontractor rates. These savings benefited FY '25 and will, of course, help drive EBITDA growth in FY '26. The GBP 400 million cost to achieve the FY '25 savings was in line with our expectation of around 40% of the total cost to achieve of GBP 1 billion. We continue to expect the remaining costs to be phased reasonably evenly over the remaining 4 years of the plan to FY '29. We're firmly on track to hit all our FY '28 to '30 objectives. That's 500 applications, improved NPS, total headcount of 75,000 to 90,000 and the full GBP 3 billion gross annualized cost savings target. I'll now turn to how we will deploy the expanding cash flow. So our capital allocation policy, it's clear, it's consistent. First, we'll continue to invest for growth in our full fiber, 5G and core networks and in transforming our IT. We remain confident that this investment will deliver long-term returns for our shareholders. On our full fiber investment, we are pleased to see that Ofcom reaffirmed the principle of the fair bet in the Telecoms Access Review consultation published in March. Our annual CapEx will progressively reduce by more than GBP 1 billion from the FY '26 level once we built full fiber to 25 million premises in December '26 and as we complete the 5G rollout and our IT transformation. We'll sell assets where they're not core. Indeed, we've sold businesses in Ireland and Italy in the past year. We'll also monetize stranded or legacy assets. For example, we've generated nearly GBP 0.5 billion from selling our former HQ buildings and the BT Tower, and this has funded our better workplace program, which has reduced our U.K. office locations from 300 in 2019 to under 30 today, and we'll continue to sell forward and extract legacy copper. Second, we will support our commitments to the pension fund. We agreed the 2023 triennial valuation, and we reconfirmed our funding plan in 2023 in November. We remain on track to be fully funded by 2030. And as part of the funding plan, we have started to contribute via our co-investment vehicle, which will refund to BT any funds not required for the BTPS from 2032. Third, we will maintain our strong balance sheet. We're committed to a BBB floor and a BBB+ through-the-cycle credit rating target. We think that this delivers the optimal cost of capital and assured access to competitive funding. We expect to progressively reduce our leverage once we've completed the 25 million full fiber build in December '26. And then finally, our residual cash flow is then available to fund progressive dividends to our shareholders, with the aim clearly to see the group's resilient long-term cash generation reflected in capital appreciation in our shares. So we've got a clear set of performance objectives. We've got a disciplined capital allocation framework that will drive returns on capital for our shareholders. And on that note, let me hand back to Allison to conclude.
Allison Kirkby : Thank you, Simon. So let me draw it all together and then get into the outlook. As I said, 12 months ago, I said to all of you, I believe our sharpened focus, improved operational discipline and an acceleration in the pace of our modernization would enable us to deliver an even brighter future for BT Group faster, and I stand by that belief. Let's look at the outlook. Starting with fiscal year '26, we expect total revenue of around GBP 20 billion. We're now also guiding on U.K. service revenue. This is to reflect both our sharper U.K. focus and to provide a target based on the most important metric in a largely subscription-based business. We expect fiscal year 2026 U.K. service revenue to be between GBP 15.3 billion and GBP 15.6 billion, which is basically flat to down on fiscal year '25, reflecting a GBP 200 million drag from traditional voice, which will continue until the closure of the PSTN in January '27. Excluding this, we should have relatively stable revenues, building on a now more stable customer base in Consumer. Adjusted EBITDA is expected to increase to between GBP 8.2 billion and GBP 8.3 billion, with growth weighted to the second half, successfully absorbing the impact of higher National Insurance and National Living Wage costs, which started already in April and cost us around GBP 100 million a year. Turning to CapEx. Our accelerated build and our accelerated provisioning means we expect this to be around GBP 5 billion in fiscal year '26. And normalized free cash flow for fiscal year '26 of around GBP 1.5 billion reflects the higher CapEx, partly offset by the growing EBITDA and a further GBP 100 million of forward copper sales, as Simon mentioned. From fiscal year '27, we expect revenue to show improvement as legacy declines abate, and EBITDA will continue to grow ahead of revenue, benefiting from the ongoing transformation programs that Simon just took you through. And once we've reached 25 million premises with full fiber by December next year, we'll then reduce CapEx by more than GBP 1 billion a year from the fiscal year '26 level. All of this results in us maintaining our normalized free cash flow targets of GBP 2 billion in fiscal year '27 and GBP 3 billion in fiscal year '30, which we will achieve while continuing to invest consistently in the future of the business. So to close, we've delivered strong results despite revenue headwinds with good momentum as we move into the new financial year. We're accelerating the pace of simplification and transformation, improving customer satisfaction across the board, across all of our brands and business segments. And our proven efficiency and engineering leadership is enabling us to go faster on fiber investment as we create one of Europe's best at-scale fiber platforms, and we're now only 1 year away from our significant cash flow inflection. As you can tell, I remain absolutely confident that as we build and connect at pace, our transformation will accelerate, and we will deliver a better BT for all of us, our customers, our colleagues, the country and our owners. So thanks for listening. We will now move to Q&A. And given the time available and the number of people in the room, some already very keen, we'll keep it to one question per person. First question, please, and we're going to go left to right. So I'll start with you, Karen, since you had your hand up first, and you've got the brightest jacket on, and then we'll move around, okay? Thank you very much.
Q - Karen Egan: Karen Egan from Enders Analysis. Regarding your outlook, can you say what you have assumed regarding altnet funding in that outlook? And an extension of that question, if I might, with BT Consumer broadband lines growing whilst Openreach is still losing lines, it's obviously an issue with your CPs. Can you talk about the role of TalkTalk customer losses within that?
Allison Kirkby : So basically, our outlook for line losses assumes no change in the market dynamics than we've seen in the last fiscal year, and that's why we are saying that our line losses will be at the same rate as we've seen in the second half. So we're assuming altnet funding will continue. Clearly, if it doesn't, that will change matters. And we are also assuming that our CPs will continue to compete at the same rate that they have been this past year. Clearly, our BT retail CPs are performing very well in the Openreach platform. There is one challenged CP that has not been investing to maintain their base, and that has been a headwind to us. They don't buy all of their broadband services from us, but we are one of their biggest suppliers. And if you isolate that challenged CP, underlying, we've had very, very good momentum actually overall. And the shift to altnets are pretty much in line with what we always predicted. So our assumption is the altnets will continue to be funded and the CPs will continue to perform as they have done recently. We've recognized that one -- we've also built in that one CP will be bringing on a second supplier during the year as well. And then we're also assuming there's not going to be any dramatic change to the market. Now we do believe, based on the demand that we are seeing for fiber that the fixed broadband market will grow again. We're also confident that the government will get housebuilding going, and that will stimulate market growth, too. But for now, we're assuming none of those tailwinds in our base assumption. And I don't know, Simon. Anything?
Simon Lowth: No, that's good.
Allison Kirkby : Thank you, Karen. We'll go to the table in the far left, and then we'll come back to you, yes. Yes, go ahead. We'll do a zigzag. Andrew Charles Robert Beale Arete Research Services LLP – Senior Analyst Sorry. Andrew Beale from Arete Research. I just wondered if you could dig into Consumer a bit and what's changed recently in your approach to market in a little bit more detail. And are you getting the same sort of intake ARPU and incurring the same sort of acquisition costs as you're doing that? And do you have momentum in that growth?
Allison Kirkby : Yes. Great question. The big difference is we've now activated all 3 of our brands. As we became very focused on the launch of new EE and driving that uniquely, we did underweight investment into the BT and Plusnet brands. And since February, Claire has the same belief in me. We're going to have a multi-brand strategy, and we're activating all 3 brands, and that is proving to be very successful. In terms of ARPUs, we're not seeing any major impact on our overall ARPU projections. We were very underweight in the value segment for broadband, even although we have the brand with one of the highest NPS in Plusnet, and particularly since you're seeing other value brands not investing in the market, we've seen that as an opportunity. But as I said earlier, by activating Plusnet, we protect BT and EE's ARPUs because we really target that brand against the value segment. We're also getting much smarter at -- having gone through a phase of really having a mass nationwide approach as we reestablished EE as the leading converged brand, we've recognized that our competition is not always national, particularly with some of the altnets. So we're making -- having a much more targeted regional approach to how we defend and win in the market as well, and that has been activated in the last few months, too. So really leveraging all our brands, leveraging our reach deeply in different regions and really looking at where we now have fiber from the Openreach platform, how do we use that as an opportunity to defend and grow our business in those areas where we weren't always giving our best customers the best. Malcolm? Steve, sorry, I'm calling you by your surname. Sorry, Steve.
Stephen Malcolm: It's fine, Kirby.
Allison Kirkby : And by the way, it's Kirkby.
Stephen Malcolm: Kirkby, sorry. Kirkby, apologies. Steve Malcolm, Redburn Atlantic. Yes, a couple of questions on Openreach, please, which you -- I'm sure we'll take directly. Yes, could you give us an idea of what you think the overbuild of your 18 million fiber lines is with Virgin and the altnets at the moment and, as you move forward, how you think that overbuild develops for the next 5 million? Then a quick follow-up. If you're doing an extra 5 million lines this year, should we not think you've got fewer fiber lines to build in '26, '27, and therefore, there's a sharper CapEx dropoff and, therefore, upside to the GBP 2 billion of free cash flow?
Allison Kirkby : Great questions. I guess because you've seen the slowing of the next fiber footprint, I think they only built, what, 165,000 homes passed in the last quarter. Clive built 1.1 million more, so 10x. We've not really seen a dramatic change in the overall Virgin Media footprint overlap versus when we started out because they've been upgrading their existing network. And now with the slowing in nexfibre, actually we're able to compete better in the Virgin Media footprint than we ever did before because we are now building fiber in areas that we didn't have fiber up against their coax broadband. So I think that's how I would answer that. And if you remember, that was one of the reasons that we really activated EE as our lead convergence brand because EE had better brand consideration with the cohorts that live in those towns and cities that were previously being served by Virgin Media. In terms of your question on the CapEx, we are basically assuming that always provisioning lags built. And so the reason you're not seeing additional dropoff is because our take-up is going up all the time. We're retaining the capacity to keep provisioning at the highest level in the market, and that's why you don't see a dropoff immediately in fiscal year 2027. Does that answer your question?
Stephen Malcolm: [indiscernible] I think -- you think it's kind of 50% altnet overbuild roughly. And I'm just curious and as you build more fiber, does that overbuild for altnets increase sort of [indiscernible].
Allison Kirkby : Yes, It will. There will -- yes, there will be overbuild of altnets because we are now -- yes, yes. We won't get into all the areas that altnets are in, but we will be overbuilding in areas where altnets already are because we are seeing too much churn and we see demand for our fiber. So there will be overbuild there.
Simon Lowth: Can I -- if I might add -- sorry, I was going to add, today, the 18 million is somewhat overindexed towards the altnet footprint. It's also somewhat overindexed relatively to the Virgin footprint. And where we've got FTTP, generally, we perform very strongly. Clearly, by accelerating the build, we're able to cover an even broader platform of altnet footprint, which is slowing down in terms of build with FTTP, which over time is clearly going to significantly strengthen our position and what we can deliver to the CPs. And if I may just, Steve, one other final point on the -- I mean, step back, we guided a year ago to GBP 1.5 billion or so for '26 and GBP 2 billion. We're keeping GBP 3.5 billion on the nose, but we're going to exit from FY '27 with an accelerated build of the FTTP network, more provisioning on that network and in a stronger position as we go forward.
Allison Kirkby : Let's go back to this, yes.
James Ratzer: Yes, it's -- yes, James Ratzer from New Street Research. So I think kind of questions on Openreach line losses might be a theme of the morning. So one thing I just wanted to follow up on, please, was in your answer to Karen's question. You essentially said you assume things next year are staying broadly similar to H2 this year, but the one change you did allude to indirectly was Sky now potentially selling through CityFibre. Does that mean in your assumptions, you're assuming the impact from that this year will actually be pretty modest from what you're picking up at the moment? And do you see anything in your medium-term plan that makes you think you have to launch an Equinox 3 pricing plan to retain volumes on your network?
Allison Kirkby : So as you know, Sky are only trialing on the CityFibre network now. And so they will only start ramping up on CityFibre starting in our Q2, so their Q3. So yes, we do have an impact assumed in there. But because we're seeing growth in other CPs, BT Retail being one, another one that's growing very nicely in the market as well, we see that we'll be able to offset some of that. And also, as we now go into new areas where fiber hasn't been before, we will start to win back customers as well.
James Ratzer: And anything on Equinox 3?
Allison Kirkby : And Equinox 3, as you know, whilst we are working through the TAR, we always assume there would be no Equinox 3 or any equivalent of Equinox 3 before March '26. But we are always looking at how we can commercially compete in the market using the levers we can.
Matthew Howett: Matt Howett from Assembly Research. So maybe sticking with the TAR. I think Simon acknowledged that Ofcom's commitment to the fair bet was in there. And clearly, I think that's pretty helped with the growth in the full fiber footprint that Openreach is targeting. There wasn't really anything in there on copper retirement. Do you think something more around that would be helpful, particularly with retiring that sooner and getting customers off of legacy?
Allison Kirkby : Yes, absolutely, and we're in dialogue with Ofcom and DSIT on that. Certainly, it is the government's desire to shift the population to modern-day technologies. And so we're discussing that with them, and whether it ends up in the TAR or via some other mechanism, it's very clear the benefits to the country of us getting off copper faster. And they are seeing all the right things. It's not yet in the TAR, but we hope something will come. Thank you. Polo?
Polo Tang : It's Polo Tang from UBS. Just a quick question in terms of Openreach because the network is currently GPON enabled, giving you 2 to 3 gigabit speeds. But a lot of the altnets have XGS-PON, giving them speeds of up to 10 gigabits per second. So how much would it cost per home to upgrade the Openreach network to XGS-PON? And could you give us an update in terms of the current cost to provision for Openreach?
Allison Kirkby : The current cost to provision for Openreach is GBP 300 per premise. On XGS-PON, we haven't declared what the extra cost of that would be, but we will be trialing XGS-PON, and we will, of course, have that in our footprint at some point as well to be able to compete, yes.
Simon Lowth: Allison, could I just qualify because it maybe one for all of you? I think what we've said before, Polo, is that the total cost is absolutely GBP 300. Do bear in mind that not all of that is capitalized. Something like 75%, 80% or so is capitalized. Just to be clear, that's the total cash cost, sorry.
Allison Kirkby : We'll take one from that table, and then we'll do next -- we'll do one online. Yes, David?
David Wright: David Wright from Bank of America. I just guess, on consumer, you sort of, I wouldn't say, reactivated BT brand, but it's kind of come back into the fold a little after maybe a bit of overemphasizing EE. But one of the drivers for that was always that there was the sort of the IT, the technical stack behind EE that was maybe a little bit more efficient, had a lot less legacy in it. So I'm just wondering, is there -- whilst you've got more brands back on the table, have you slightly stepped back in terms of the efficiency of the rollout? And the only reason I say that, I thought Consumer EBITDA was a little light. And I know there were 1 or 2 exceptional support items in there. So has it cost a little bit more to get that broadband positive Consumer growth? And by the way, is that now a commitment? Are you looking to grow Consumer broadband adds consistently from here?
Allison Kirkby : I can't promise consistently every quarter, but we absolutely want to, first of all, stabilize our base and then start to grow our market share, again, leveraging all 3 brands. The Q4 EBITDA was not affected by some of the things you mentioned there. And maybe you can pick up on what it was, Simon. The tech that we're building, we were always going to migrate all of our customers to the new tech anyway. And we've built tech that will be able to cope with multiple brands. And so now we just need to ensure that we've got that multi-brand environment sooner rather than later. But that was always the intention as we've been gradually migrating the customers. And it's only the broadband tech that we've modernized so far. We still have to do an upgrade of the mobile tech. And that is not the driver of Consumer EBITDA being -- we have in the year because of the scale of migrations, particularly PSTN and broadband migrations. We've heavily invested in fiber take-up. That has had an impact but is getting the market position in the right place. And so we're slightly heightened in our call centers at the moment as well because of the scale of those migrations. Simon, anything else?
Simon Lowth: No. I mean, I think the Consumer EBITDA performed strongly through the year. It benefited a little bit in Q4 with some one-offs that -- those occur from time to time. But actually, the progress of cost transformation has been strong. Do remember the business had to absorb the movement in the National Living Wage as well in here. So I think it's been still...
Allison Kirkby : The one that was done last year as well.
Simon Lowth: Yes. So I think the team have done a very good job in both getting us back to growth in the broadband base. You saw -- we all saw [Scott] ended the year with the mobile base at about the same level, doing that with the investment it entails, but really tackling the cost base to sustain the EBITDA.
Allison Kirkby : Let's take an online question now, and then we'll go back to Andrew and then go to this table, yes? What's the online -- yes.
Operator: Our first online question comes from Akhil Dattani from JPMorgan.
Akhil Dattani : I've got a question around the cash flow profile and capital allocation. So it's a bit of a bigger-picture question. Allison, you mentioned obviously the intense CapEx weight on cash flow over recent years. But clearly, we're now 12 months away from that cash flow inflection we've been effectively waiting for, so we get to GBP 2 billion next year and then, obviously, the aspiration to get to GBP 3 billion midterm. If we look at recent years, the cash flow effectively has been absorbed by the spec items and the dividend, so obviously, there hasn't been a lot of headroom. That headroom meaningfully improves from next year onwards. And I guess I'd love to get some very early thoughts, appreciating, obviously, it is a bit of a way out, just how you're thinking around what that would ultimately mean in terms of your capital allocation. I guess in terms of answering it, one is obviously high level, what are the things you might be thinking about as you're planning midterm? But secondly, do you think this is something that could be relevant already next year? Or do you think you'd want a couple of years of better cash flow under the belt before making a call?
Allison Kirkby : Akhil, I'll get Simon to answer that since he took you through quite a detailed capital allocation slide.
Simon Lowth: Yes. So Akhil, listen, thanks very much for the question. I mean we've reaffirmed our guidance of delivering normalized cash flow up to GBP 2 billion and then -- in FY '27 and then GBP 3 billion by the end of the decade, and we're confident in delivery of that. And it's powered really by this very significant reduction in the capital investment as well as continued EBITDA growth as we sustain revenue growth from '27 and expand margin. So we're confident in delivering the normalized cash flow. And then in addition to that, as we've been pretty clear, the specific items, so particularly the restructuring costs will significantly abate as we travel out over that time period. So we will be seeing expansion of the cash flow at the residual level as well. I set out pretty clearly, I think, in my remarks earlier that as we expand the cash flow, clearly, the balance sheet and retaining a strong balance sheet is important for us, gives us some capacity to delever and to try and move to our target credit rating of BBB+. But we can secure that while still having capacity for enhanced returns to shareholders, which is, of course, the route through which we'll generate and deliver the return on the significant investment we're making, and that's the policy, and we'll be following that over the rest of this decade. In terms of the short-term impact, the real focus is going to be on getting that significant inflection in capital reduction in FY '27 at GBP 2 billion. So I think you can see us be very focused and consistent on delivering that first. Allison?
Allison Kirkby : But also, I hope you can see and build confidence from the fact that as our cash flow has already been reflecting, we have been growing our dividend into that increased cash flow, and you should expect that to continue. Okay. I think Andrew next, and then we'll zigzag to Maurice's table.
Andrew Lee: Yes. It's Andrew Lee from Goldman Sachs. As you highlighted in your presentation, kind of the efficient monetization of your network investments, is at the heart of your strategy and kind of a central feature in that is Openreach EBITDA margin expansion. That's been strong in FY '25, but not particularly strong in the fourth quarter. Which is a better guide for FY '26 and beyond: the FY '25 margin expansion or the fourth quarter fairly uninspiring [expectation]?
Allison Kirkby : Yes. Well, fourth quarter was fairly -- was affected by storm-related rebates and some one-offs. So that is not a good reflection of going forward, but it won't be at the same level as the full year fiscal year '25 because we had higher indexation in fiscal year '25 than we have in fiscal year '26. And clearly, we're starting the year with lower lines than we started last year with. So it wouldn't be of -- it wouldn't be at the Q4 level, will it? Or I'm not supposed to be guiding at that level, am I?
Simon Lowth: No, but I -- no, no, no, I -- no, but I thought it was a very helpful comment for Mr. -- Sir Lee to hear. Q4 margins were indeed somewhat depressed and not what we would expect going forward. But I think on a -- the basic dynamics from an Openreach perspective is by really investing and driving the FTT build and provisioning, we can really defend the broadband line base. We're going through a challenge period. We expect to strengthen that competitive position. We do get indexation. But do remember, every time we move customers on to FTTP, we are lowering the cost of servicing those customers and repairing the network. And in doing that, that has a snowballing effect as you get more and more onto FTTP. So we do expect to see some continued EBITDA margin expansion over the rest of the decade as we continue to build.
Allison Kirkby : And you only need to look at the reduction in the workforce, the direct workforce in Openreach. You see the scope for that margin expansion going forward.
Andrew Lee: I was just going to say, just to follow up exactly on that. So those extra kind of tailwinds, what exactly is going into that kind of tailwind? So you'll see lower fault rates? Like how are those kind of tailwinds outside of indexation trending? Are they accelerating? Or...
Allison Kirkby : Lower fault rates, lower direct labor, so more subcontractors we can switch off and on because of now the visibility that we're giving, the subcontractor population even further now, leveraging Greg's procurement and sourcing calls on that. They're doing a lot of work on product -- desk-based productivity to reduce headcount and also automation. I think those -- Clive knows he has to expand his EBITDA faster than his revenue, and he's working on it.
Simon Lowth: And I'd add, I mean, we mentioned energy costs as well, which is quite consumptive in Openreach. I mean we focused here to the end of the decade. Do remember, as we approach that, we're starting to tackle the next significant opportunity for lowering our cost base, which is we've got a large section of our exchange network. It was an earlier question and is actually this topic, which is also going to be a reduction in our cost base as we exit from those 4,500 or so exchanges. That's still to come, not in the numbers we've described.
Allison Kirkby : Start to the left and go around the 3 on this table. Robert first, then Maurice, then Carl.
Robert Grindle: Robert from Deutsche Bank. Allison, you mentioned best network. Do you feel, particularly on the mobile side, you may need to have to respond to the merger of Vodafone and Three and VMO2 also gets some extra spectrum? And as part of all that, have you yet seen increased wholesale mobile competition because of the JV? And if you have to upgrade your network, are you expecting your towers' leases to increase? Is this a CapEx -- source of extra capital?
Allison Kirkby : We are so far ahead on the others on mobile performance. Clearly, their investment is to catch up first. So no matter what test you look at, Ofcom are even getting quite pointy on how they're measuring network performance as well, EE always perform -- outperforms the others. That's not to say that we -- competition is good, and we will need to look -- continue to look at improving our network, but we're far ahead today. And the reach of our -- the Emergency Services Network contract also gives us a unique position in rural locations and gives us a higher level of resilience in general as well that we continue to sustain. But of course, we'll always be looking at how do we maintain that best, most trusted and also most resilient is what we're really seriously looking at. Wholesale competition, having -- there's always these new MVNOs come out, and they pitch to all of us, and some pick them up more than others, but I haven't really seen any change in the market. And I think credit to how well we are performing that our mobile churn is at 1% per month. We're holding ARPUs pretty stable and really leveraging convergence and the multi-SIM environment. And then on the towers, anything you want to say on that?
Simon Lowth: No. I mean, I think the only point what I would make is we clearly anticipate maintaining a really strongly differentiated proposition for our customers. Exactly what that means in terms of network performance will evolve, but we built into our CapEx plan, into the guidance we provided, actually, a bit of a little bit of a nudge-up in our mobile investment, and we sustain that at a pretty high level through the decade. So we're going to maintain the firepower in our CapEx plan in order to compete and stay at the lead.
Allison Kirkby : Maurice?
Maurice Patrick : It's Maurice from Barclays. I mean just on Global Services. I mean there was an expectation set by yourself. Maybe you would come back to the market today, if not before, and talk about possibly a sale or some transaction there. And you let it inside the guidance and inside the business. Curious as to what changed. Is it still the idea to monetize or sell? And what changed and not for the results?
Allison Kirkby : Yes. I still fundamentally believe and based on the number of conversations I've had with other players that serve that same multinational segment outside of the domestic markets, there is consolidation opportunity. It was very -- it became difficult to explain what is the business that you would be combining until we were actually able to carve out. And so the carve-out is now, and we will be reporting, going forward, much more transparently what is the revenue, EBITDA of that business going forward, and that will make it much easier to continue what has been some good conversations. And -- but we also would like to see a little bit more runway on what is Global Fabric actually doing for our business to help migrations. And we do believe that, that will be something that others will become increasingly more interested in as they also look at how they migrate their customers off of MPLS and other legacy technologies. So we are still -- keep very open-minded about the different scenarios, but we had to carve it out first. Carl?
Carl Murdock-Smith : Carl Murdock-Smith from Citi. A question on your guidance. One of the more contentious parts of normalized free cash flow is obviously the forward sale of copper, and it's come up in terms of the guidance for '26. Thinking in terms of the guidance for '27 and for '30, are you happy to commit that those numbers are kind of underlying and don't include forward copper sales and that anything would be additive on top of that? Or are you retaining that within that potential normalized free cash flow definition on the medium-term guide?
Allison Kirkby : I think this time last year, we said that none of our forward-looking guidance assumed any copper sale. And if we did identify new copper sale, we'd be very proactive on that. That's still the case today.
Simon Lowth: Yes. I mean, I think 2 points, Carl. I mean firstly, we're accelerating our FTTP build, which actually allows us to accelerate some recovery. And therefore, we're bringing forward sales by forward selling of copper sales, and that's -- we've guided to that for FY '26. We should be a little bit clear on the semantics here. We are selling copper every year of our plan. We do that. The question is, do we forward sell it? And the answer is we're not planning any forward sales, but in terms of managing timings of cash flow within and without years, we may. But it doesn't change the overall cash that's coming from copper over this period, yes.
Allison Kirkby : You might need to stand up, Carl, sorry.
Camille Mendler : Camille Mendler with Omdia. As you shift more to domestic business, can you comment a little bit more about your growth and profitability dependency on SMBs? And specifically, the buying and cross-selling through digital channels versus direct or indirect, what are your targets around digital selling? Where are you at now?
Allison Kirkby : So we see lots of opportunity for the SMB space. We don't believe whilst we have around 30% market share in that segment, it's very much just in the core connectivity product services -- products and services, and we have not been bundling that with some of the other cloud-based security solutions that the segment clearly needs. Our digital servicing of that channel is very low today. I'm looking at Jon, it's kind of, at best, around 9%, 10%. The scope is significantly more than that. And that is a key part of the transformation strategy that Jon is now leading. And he's seen numbers of a dramatically higher number where you sell through digitally coming from a country like Denmark and spending so much time in countries like Sweden as well, where you're seeing 30%, 40% digital channel share. So lots of opportunity. And also -- it's also a segment that is served by a very fragmented range of suppliers today, and that's where we see opportunity for consolidation, the strength of the BT brand selling more directly and why Jon and Claire have been working in particular also, how do we really use our store footprint to strengthen our presence on the high street for that important segment, too. Yes. Thank you. Any questions online? My goodness. No more questions?
James Ratzer: Do you want a second one?
Allison Kirkby : Well, we've got time, James. So why not? As long as it's not a difficult one.
James Ratzer: No, just had a question. There was a press report, was it earlier this week, last week, about your potential interest in selling TNT Sports. So I was wondering if we could just explore that a little bit further because obviously, you're locked up on your shares until, I think, August next year unless Warner Bros. exercise their call option to buy you out. So given that press story, is that something they are interested in doing right now? Or do we wait till a year's time? And I think in the accounts you've just reported, you've slightly marked down the book value, but it's still in at around GBP 630 million for all the different components. I think you own there the preference A shares, the C shares, the equity stake. So if there's a sale, is that the price we should have in mind?
Allison Kirkby : So clearly, we've taken a write-down because generally, the sports -- the subscription market for sports rights has been pretty challenged. And looking at the forward-looking projections, we had to take another look at what was the carrying value of that asset. Hence, that was very clever of you to spot in Page 25 or whatever it is that we took a bit of a write-down on that, and we've been doing that regularly along the way. Listen, when we went into that JV with Warner Bros. Discovery, it was very clear a route to exit for us. There were 2 call option windows. One expired last year. One comes in later '26. We have a very good dialogue with them, and let's see what happens between there and then, but rest assured the carrying value reflects a fair valuation of that business and the different moving parts that would be triggered should we strike an earlier deal or a deal at that time. I don't know whether you want to say anything about what's in the balance sheet now or no?
Simon Lowth: It's a gripping topic.
Allison Kirkby : It is a gripping topic, yes.
Simon Lowth: The only thing, James, you're missing is that in addition to the assets, as you know, we also have a capitalized liability for the off-market minimum guarantee component. And that, to some extent, is recycled through one of the assets. So the net position is somewhat lower. But we disclosed the MG liability at March, GBP 288 million, I think, so you net that off, yes.
Allison Kirkby : Steve? And then...
Stephen Malcolm: Just on M&A and capital allocation. We've talked about disposals. But -- and you've talked about things like TalkTalk. We've seen a bit of M&A activity within the U.K. recently. We've seen Daisy kind of finally partner up with Virgin or do a deal there. I mean in your strategic thinking, lots of your competitors and your customers are in quite deep financial trouble at the moment. I mean do you think about yourself as a possible consolidator? Is that, in any part, considered in your strategic planning? Do you think Ofcom would give support? Or is that completely ruled out? It's about generating cash, paying down debt? Should we expect any kind of M&A in the next couple of years?
Allison Kirkby : Absolutely, we would participate in consolidation where we believe we would get approval and where it makes economic sense. And clearly, there are some segments of the market that would be trickier than others. But there's other segments where it's very clear that we don't have SMP, and therefore, we could participate. So we -- it is part of our strategy to always be looking at the market because we do believe we're entering into a phase of consolidation. And in the dialogue I have with Ofcom, I'm very clear I want to be able to participate where I can. Polo and then Maurice.
Polo Tang : Just a quick question in terms of U.K. service revenues because if you look at your guidance for the coming year, the guidance range is flat to down GBP 300 million in terms of the range. But could you maybe give some color in terms of how we should think about the impact of service revenues by unit? And then just trying to get a sense of trajectory.
Allison Kirkby : Yes. Well, we don't give guidance by unit. But as I said, with the Consumer customer base now stabilized, we will see a very similar trajectory during the year in Consumer as we saw this year, which was negative in the first half as we go through back book to front book corrections and then return to growth in the second half. Business is still going through a transition. Both units have a couple of hundred million across them as a headwind from PSTN. But certainly, it will be more Consumer will probably be ahead of some of the other units. Maurice, and then we go online.
Maurice Patrick : Yes. It's Maurice again. Just a question on One Touch switching, if I may. So Virgin VMO2 suggested that in the last quarter that One Touch switching was something of a headwind from them. Vodafone, on their results, have called out for 2 quarters, has been a material tailwind. I suspect from your side, it could probably be a tailwind to win from Virgin, but maybe a headwind from altnet. Just curious as to whether it's a headwind or tailwind for you and how much?
Allison Kirkby : Well, it's neither a headwind or a tailwind. It's pretty neutral for us at the moment. Like Virgin, we carry a very large existing base. And therefore, they are ripe for the challenger broadband that Vodafone are behaving like at the moment. So I'd say it's kind of neutral for us so far, and we're definitely picking up in some areas where competitors have not been looking after their customer base well enough. Yes. And we'll take an online question now?
Operator: Our next question comes from Joshua Mills from BNP Paribas.
Joshua Mills : Hopefully, you can hear me.
Allison Kirkby : Yes, Joshua.
Joshua Mills : Just a question on One Touch switching as well. So I'll be a little bit more straightforward. My question was just on the ARPU drop-through and how you're seeing the recent back book price increases from April be received by the customer base. And perhaps if you could be a bit more specific, the improving NPS that you're seeing across different brands, are you now assuming that you'll see a better drop-through of those price rises into ARPU in your FY '26 guidance for Consumer?
Allison Kirkby : The ARPU drop through, so first of all, the price communication has gone down a lot easier this year than it has in previous years. I think the pounds and pence is making it easier for customers to digest, and there are other product, services, whether it be energy that is more under attack from some of the consumer bodies that are looking at pricing. So it's been a quieter price increase period. The drop -- the ARPU drop-through is very -- we're assuming a very similar impact that we saw last year. You have the sawtooth effect of customers coming out of 2 to 3 years of very heightened inflation. And the cost of regrading them is not dramatically different this year versus last year so far. I think as we go into next fiscal year, you'll start to see that regrade be smaller because a lot of the customers that really want to move after the heightened inflation have already dropped down to lower contracts or already on the pounds and pence. All of that is factored into our outlook for Consumer, still expecting service revenue growth in the second half of this year, but negative in the first half like we saw in fiscal year '25. And I think we'll take Polo -- oh no, Karen has got her hand, yes.
Karen Egan: Thank you. So you've reinvigorated the Plusnet brand on the broadband side. Might you do the same thing on the mobile side?
Allison Kirkby : No plans to do that at this time. We're fully out of Plusnet on mobile. And so far, since using household penetration, EE One driving household tariffs, as I said, we're defending ourselves very well in that value segment. But it's something we're monitoring, but no plan to do that at this time. And I think Nick is now giving me the sign that we should end what has been a long 90 minutes. But thank you all for joining today. Really appreciate it. I hope you got all the information you needed to get as confident and as excited as we are about the journey ahead and particularly that exciting cash flow inflection that's now just a year away. Clive is going to have much more fiber in your area soon if you need an upgrade. And thank you all. Please say hello to some of the new team members and the long-standing team members, and see you again very soon. Thank you.